Operator: Greetings. Welcome to the Danimer Scientific Second Quarter 2022 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I would now like to turn the conference over to your host Russ Zukowski, President of Corporate Finance. Thank you, you may begin.
Russ Zukowski: Thank you, operator and thank you, everyone for joining us today for our second quarter 2022 earnings call. Hosting the call today are Danimer's CEO, Steve Croskrey; and CFO, Mike Hajost. During our discussion today, we will be referring to our earnings presentation which is available on the Investor Relations section of our website at danimerscientific.com. On slide two, please note that we may discuss forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements include, among other things, future results of operations, capacity, production, and demand levels that could differ in a material way from those expressed or implied in the forward-looking statements. We assume no obligation to update any forward-looking statements to reflect events or circumstances after the date hereof, except as required by law. Today's presentation also includes references to non-GAAP financial measures. Reconciliations to the most comparable GAAP financial measures can be found in the earnings presentation. I will now turn the call over to Steve.
Stephen Croskrey: Thank you, Russ. Good afternoon everyone. Thanks for joining. Danimer continues to make significant progress during the second quarter of 2022 and we believe that we remain on track to achieve our outlook for the full year and beyond. Our customer conversations and business development efforts have been productive and our leadership position in research and development is bolstering our existing relationships, but also creating new answers in our best-in-class biodegradable offerings. As a result, we are working hard to expand our capacity which is tracking to plan. Today, I will discuss our second quarter highlights, recent business development updates, and the progress of our capacity expansion plans. As we have discussed over the past couple of quarters, every initiative we have undertaken aligns with our key strategic priorities shown on slide three. These priorities are, number one, expand our capacity to achieve substantial economies of scale, through both organic production capacity in Kentucky and Georgia and by leveraging third-party manufacturing and license agreements. We are also happy to announce that our Kentucky Phase II expansion started commissioning successfully in June, which I will discuss later in the call. Number two, lead with innovation to address a broad range of customer needs as we focus on leveraging our core competency of formulation and application development in addition to licensing agreements. An important example of this is our license and supply agreement with Kemira that we announced in May. Number three, grow customer partnerships and product volume commitments with global blue chip customers with the expectation of securing future demand for our increasing capacity. Number four, secure cost effective inputs, such as our research collaborations with institutions to evaluate attractive alternate feedstocks that can serve as an important input in our leading biodegradable formulations. Furthermore, we're developing capabilities for in house production of key raw materials. Number five, attain favorable unit economics to enhance margins. First through increased capacity, utilization and existing facilities, then ramping up production over and over. And number six, enhance team capabilities to support growth across manufacturing, business development, R&D, information technology, human resources and finance. We remain focused on these strategic imperatives to drive our business forward. Turning to slide four, we continue to execute our growth strategy during the second quarter. We grew our PHA revenue by approximately 85% year-over-year, which now represents 61% of our total revenues compared to just 29% in the second quarter last year. Additionally, we made further progress towards expanding our capacity and successfully started commissioning Kentucky Phase II operations in June. This was in line with our plan. Phase II operations are initially hitting the upper bounds of our expectations for individual assets and we have found that we may have opportunities for CapEx savings in the future as we increase production. In regards to financing, we were pleased to be invited to submit a part two application for loan guarantee under the United States Department of Energy TITLE XVII Loan Guarantee Program. Although this invitation does not assure that we will secure the loan, it does represent further progress in our discussions with the DOE and reflects the loan programs offices determination that our project satisfies the technical eligibility requirements. While we continue to work closely with the DOE, we're also evaluating alternatives for financing our capital needs. Moving to slide five, as a reminder, our customers are primarily major blue chip multinational brands that have all made long-term commitments to make their plastic packaging recyclable, reusable, or biodegradable. Well, as previously announced in May, we entered into an exclusive licensing and supply agreement with Kemira to commercialize biodegradable aqueous barrier coatings to be used on paper-based food and beverage applications globally. Importantly, this license and supply agreement lays the foundation for a new revenue stream where Danimer has already been cashflow positive from day one without significant CapEx investment, while further supporting the global commercialization of this material. Since our announcement of this collaboration in May, our relationship with Kemira remains strong. We are meeting necessary development goals and expect to have materials available for market testing by the end of this year. We have also continued to make great R&D progress with Mars Wrigley and note as a recent update, that the packaging for Skittles is passing all their internal tests and encouraging development. While we are advancing projects with our existing multinational developmental partners like Mars Wrigley, PepsiCo, and numerous others, we're also focused on discussions with major quick service restaurant chains. We spoke to you about our relationship with Starbucks last quarter, which is progressing well. Biodegradable Nodax-based straws have been well received in Starbucks stores and are reaching millions of consumers. We are also excited to note that we are currently in discussions with and providing sample products to a total of five of the top 10 largest quick-service restaurants in the world. Separately, our convertor partner Genpact is now testing takeout containers at select locations remains on track to launch their Gen Zero product line in the fourth quarter of this year. Another converter partner of ours Columbia Packaging Group, recently started selling Nodax-based straws to HEB, the largest grocer in the state of Texas for their in store dining, and also now sells the strives to HMS Host, the primary food service provider for almost every airport in the country. Furthermore, in May, our customer Plackers launched the first ever 100% biodegradable dental flossers utilizing Danimer's Nodax. Since pioneering the first dental floss are over 45 years ago, Plackers has been at the forefront of oral care innovation for nearly half a century and we were honored to partner with them on their initiative to provide a biodegradable alternative for this everyday household item. In regards to potential new application formulations, we are currently in discussions with a packaging supplier for the potential development of items such as protective biodegradable plastic packaging for shipping materials. On the regulatory side, additional legislation banning traditional plastic use has also helped fuel interest in our solutions. Canada, India, and the state of California have each recently announced legislation against types of traditional plastic use, with all having certain exemptions for biopolymers, representing a positive tailwind for our industry. Additionally, Danimer has been working to engage and educate local, state, federal, and global governments on Nodax PHA as an alternative to traditional plastics. As I have mentioned in the past, timing of customer launches is the most variable factor as relates to the shipment of our products. There are really two forces currently at work in this complex environment as it relates to customer readiness for our products. One is interest in our solutions, which is higher than it's ever been. On the other hand, many existing and potential customers still face supply chain bottlenecks, inflation, and overall economic concerns that impact the timing of orders and deliveries. As an example, several straw converters are sold out and some have had supply chain issues delaying new equipment that they required to increase their own capacity. While these factors may continue to impact customer timelines in the near-term, we currently expect several significant customer product launches starting as early as Q4 and running into 2023. In total, these product launches will collectively require an amount of our PHA based product that is well in excess of our Kentucky capacity. It's important to remember those launches show up in our results gradually, largely in step with a typical cadence of a customer's new product rollout. So, we expect to see an initial benefit to our volume next year, followed by a more pronounced step-up in shipments as we move into 2024. Moving to slide six, looking at our facility expansions, we were pleased to start commissioning Phase II of the Kentucky facility during the second quarter. Based on how we operate the facility and report information, I would like to know that Phase I and Phase II outputs moving forward will be communicated as a single entity of the Kentucky facility. The facility now has an annual nameplate finished product capacity up to an expected 65 million pounds which as a reminder includes both PHA and other compounded biodegradable materials. As I mentioned earlier, based on early performance at the expanded Kentucky facility, the new fermentation yields are higher than we previously anticipated and have exceeded our initial expectations for both pounds produced and time required. While we are still evaluating potential future time and cost savings from these efficiencies, we believe that some of the value engineering we have been able to perform has provided opportunities for additional cost savings down the road at the Kentucky facility. Furthermore, Danimer has now demonstrated the engineering, procurement, and construction management skills necessary for future startups, including the Georgia greenfield plant. Turning to our greenfield facility in Bainbridge, Georgia on slide seven, as we discussed with you last quarter. While we are committed to instituting this critical capacity for growth, we remain nimble and flexible as to the pace of capital spending. And we have slowed spending on this project in the near-term to be prudent with cash. I would note, however, that we are encouraged by the learnings from our successful expansion in Kentucky, which should allow for further value engineering to maximize the efficiency of the greenfield facility. Based on our current plan, we continue to expect the greenfield facility to start up in 2024. As it relates to our operations at Danimer Catalytic technologies, based on our development work to-date, we're even more confident in the long-term opportunity to improve our cost profile through combining renewable with Nodax at commercial scale. Additionally, our discussions are progressing with several major ethylene oxide producers in the U.S. Gulf Coast for supply arrangements, site colocation, and other ancillary agreements related to the manufacturing of renewable products. We're also excited about the progress we are making in discussions with several potential partners about licensing the renewable technology. With that, let me turn the call over to Mike for an update on our financial results.
Mike Hajost: Thank you, Steve. I'll speak to slide eight. We closed out the second quarter with sales of $12.7 million compared to $14.5 million in the prior year second quarter, driven primarily by lower PLA sales and also lower R&D revenue. This was partially offset by an increase in PHA sales. The total products revenue is nearly even in the comparable periods, but the mix of products has shifted considerably towards PHA. PHA-based resin sales were up 84.5% to $7.7 million, representing 61% of total revenues compared to 29% in the prior year quarter. The increase in sales of PHA-based resins mostly offset a decline in PLA sales. As a reminder, a portion of PLA sales was negatively impacted by customer operations in the Ukraine and given the uncertainties there, we believe that this business will not return in 2022. We reported a second quarter gross loss of approximately $2.2 million compared to gross profit of $2 million in the prior year period. On an adjusted basis, gross profit was approximately $200,000 compared to $4.1 million in the prior year quarter. The decrease in adjusted gross profit was primarily driven by lower R&D gross profit, due in part to the reduction in the R&D revenue and the timing impact of associated R&D projects spent captured in each period and lower PLA volumes, which continue to have a higher adjusted gross margin than PHA. Although that differential is diminishing as the volumes of each product change. Said another way, our PHA margin improved as volumes of that product increased and our PLA margin decreased as six costs were expensed across the lower volume base. As we have mentioned previously, we expect our average cost per unit at our existing facilities to improve as PHA production scales. For the second quarter 2022, R&D and SG&A expenses, excluding depreciation and amortization, stock-based compensation, rent, and one-time items were $12.2 million compared to $6.7 million in the prior year quarter, mainly attributable to an increase in headcount and salaries to support R&D efforts, and our future expansion plans, as well as increases in costs associated with having a larger asset base, such as property and liability insurance. In addition, this quarter includes approximately $1.2 million of R&D and operating expenses were related to Danimer Catalytic technologies, which we did not own in the prior year quarter. Adjusted EBITDA was a loss for the second quarter of $12.9 million compared to a loss of $2.7 million in a prior year quarter, primarily due to the factors I discussed in our gross profit, SG&A, and R&D results. Adjusted EBITDA exclude stock comp, other income, and other add backs as reconcile in the appendix. Second quarter adjusted EBITDA was a loss of $12 million, compared to a loss of $2.6 million in the second quarter of 2021. We add back our rent expense, because it was primarily related to a sale leaseback agreement associated with the Kentucky facility and thus, is essentially a replacement of depreciation and interest expense. Our total debt outstanding was approximately $263.4 million at quarter end net of $9.7 million of unamortized debt issuance costs and includes $21 million of low interest new markets tax credit loans that we expect will be forgiven in 2026. Our cash position at the end of the second quarter was $140.4 million. Looking at outlook for the full year of 2022 on slide nine. As we view full year 2022, we expect this to be another year of sound investment with an intense focus on getting our PHA business to profitability. For the full year 2022, we reiterate that we expect adjusted EBITDA will be in the range of negative $45 million to negative $35 million. We also reiterate our expectation for the Kentucky facility to turn profitable during 2022 as we increase capacity and drive operational efficiencies at the expanded facility. For 2022, a positive year over year contribution from higher PHA-based resin volumes will be more than offset by several factors I previously discussed as well as today. This includes lower PLA sales and a full year of expense associated with higher headcount and other costs to support our asset base, as well as a full year of operating costs in Danimer Catalytic Technologies, formally Novomer to support the future commercialization of these products. Regarding cash flow, we announced that capital expenditures in 2022 be in the range of $175 million to $185 million, inclusive of capitalized interest and internal labor. We will remain flexible with our spending so that we can speed up or slow down the greenfield construction, given the rising cost environment and supply chain uncertainties that are impacting that project. With the flexibility in our spend, we now expect to end the year 2022 with cash in excess of $60 million. We believe our adjusted EBITDA and CapEx outlook provide a constructive framework for improved results from our PHA business. Combined with the investments we're making elsewhere in our business, we believe that we are on the path to profitability in coming years. Looking beyond 2022, we believe our PHA revenue is poised to drive a significant increase in our overall profitability. PLA revenues will likely remain challenged. We have already made significant investments in our SG&A and R&D that we can now leverage over time, as revenues grow and our investments in Danimer Catalytic Technologies are progressing as planned. We expect this business to contribute meaningfully to our results. We're confident in our ability to execute against our strategic objectives with a prudent focus on profitability and cash management. Now, we'll turn the call back to Steve for closing remarks.
Stephen Croskrey: Thank you, Mike. In conclusion and as we look to the second half of 2022, we will maintain our focus on executing our initiatives which are aligned with the sixth strategic priorities of our growth strategy. We are focused on the immense long-term opportunity to transform the plastics market, we are confident that we can continue working closely with our customers to overcome near-term quarter-to-quarter volatility. With our development expertise, expanded capacity, large portfolio of patents, and a growing blue chip customer base, we believe we are well ahead of the competition and have a clear path to deliver on our reaffirm goals for 2022 and beyond. Thank you for your time today, and we look forward to update you on our progress. We will now open up the line for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Jon Tanwanteng with CJS Securities. Please proceed.
Pete Lucas: Yes. Hi, good afternoon. It's Pete Lucas for Jon. In terms of PHA, you mentioned revenues up 85% year-over-year, now, I think you said 61% of total revenue. Can you tell us how volumes and pricing are trending on a sequential basis? And where you expect each of those to go in Q3 or give us any detail around that?
Stephen Croskrey: Yes, thanks, Pete. I'll have -- ask Mike to answer that one.
Mike Hajost: Yes, so people were really seeing I'd say, revenue basis, we really saw pretty much the same roughly same volumes and revenue from the PHA business, Q1 into Q2, again, a lot of the dynamics ever seen with supply chains and economics, things like that, that we've kind of commented, I think within all of that, I think we've seen relatively stable pricing between those two periods as well.
Pete Lucas: Help helpful. Thanks. And then sticking with PHA, have your PHA customers resolved or made any progress with their conversion equipment supply issues?
Stephen Croskrey: Yes, Pete, they have. Although I would say it's not completely online and up to speed, but there's there was definite progress made from Q1 to Q2.
Pete Lucas: Great. And then -- actually, you covered everything else. Great. Thanks. I'll jump back in the queue.
Stephen Croskrey: All right. Thanks Pete.
Mike Hajost: Thanks Pete.
Operator: Our next question is from Thomas Boyes with Cowen & Company. Please proceed.
Thomas Boyes: Thanks for taking my questions. Maybe first, now that we're looking at Kentucky as a combined facility, you could give us a little insight into maybe what the current utilization rate is, or maybe what utilization rate, you would expect them in order to kind of profitability at the plant level?
Mike Hajost: Yes, I think, -- Thomas, it's Mike. I think overall -- I think right now is we brought on a whole second stage of that, which we're kind of just commissioning right now. But I think, overall, running at that levels are pretty consistent with what the original capacity was of that facility, give or take. So, what we're really focused on now is continuing to commission and bring on additional capacity that's going to help really bring that that facility to be turned breakeven, even to profit sometime yet this year in 2022.
Stephen Croskrey: And, Thomas, if I could just add to that, the way we model the ramp up on that startup is, we expect after two years to be at 90%, of nameplate capacity. We -- that's how we model it, we do believe that we can do better than that, though, because if you recall, it took us two years to get Phase I up to 100%. And so we learned quite a bit during that process. So, we should be able to do this more quickly. But in our actual models, we're showing it 90% utilization after two years.
Thomas Boyes: Excellent. That's very helpful. Maybe as it relates to funding, great to see the progress there with the DOE loan getting a part 2, is there a certain kind of a line in the sand that you think that you need to hit in order to keep the green facility on track first started production in 2024?
Mike Hajost: Yes, Thomas I think overall as we said, we're willing to either slow down or speed up the funding of that project. And I don't think there's really a line in the sand, it's going to -- we're going to slow it down and make sure that we've got the financing in place before we commit additional funding towards that. So, there's nothing really in our mind right now. We're -- we think we're making good progress through the application and Phase II. Typically, they say that takes about six months and sort of a best case scenario and it's likely going to be longer than that what we saw in Phase I, but we do believe that sometime in 2023 is a fair assumption for us to have that in place and we're still feeling confident that we'll get that done, which then puts us as having a facility operational sometime in 2024.
Thomas Boyes: Appreciate it. I mean if you could sneak one more back in and it'll hop into the queue. I would love to get an update maybe on the work you've been able to do with, the biodegradable less and especially, given the work you've done with Kemira with paper cups, the straws, it seems like there's an opportunity there to kind of offer a holistic solution.
Stephen Croskrey: Yes, Thomas, we're doing very well with lids and forks. I can't give you a specific thing at this point. But we're starting to talk with customers about store trials and things like that. So, it's progressing well, but I can't offer any customer specifics. But we're still very excited about it. As you recall, I think I've mentioned on the last call, that that was the first project that we ever approached, where we actually were able to make lids on the first pass. And it's something that I'm super excited about in terms of our developmental cycles and just our R&D work, that what we see is after years and years of doing R&D projects across the business, that now those are translating into much quicker development, or -- much shorter development timelines, as we take on some new projects.
Thomas Boyes: Absolutely, appreciate the color there. I'll hop back in the queue.
Stephen Croskrey: All right. Thanks Thomas.
Operator: [Operator Instructions] Okay, we do have a follow up from Thomas with Cowen & Company. Please proceed.
Thomas Boyes: Yes, if I could just -- it's kind of one of my perennial questions. I guess I was just wondering if you could give us an update on canola prices that you're able to lock in. And maybe if you could talk a little bit more about any progresses to be able to make around soybeans or pennycress as an alternative feedstock?
Mike Hajost: Sure. Thomas this is Mike, I'll talk about canola what the -- you talked about pennycress and the others. But yeah, the average price that we put in the product in the second quarter was about $0.78 a pound. And as you know, the slump pressures occur in a world that has caused canola prices to increase. We've locked in at an average of about $0.92 per pound for the second half of this year, and about $0.86 per pound for the first half of 2023. So, we're in conversations with our industry contacts. And I think the expectations that they're providing to us is that they would expect a decline in the future, as the industry adjust to world events. So, I think there's more land that can be planted with this, to kind of offset some of the issues that we're seeing in the Ukraine and that situation over there.
Stephen Croskrey: Yes. Thanks Mike. And if I just added just a little color to that, and then talked about this other items. If you recall, prior to the war in the Ukraine, we were started to forecast that we were seeing this market stabilize. And then unfortunately, the Ukraine is one of the largest producers of canola in the world. And so that impacted vegetable and not just canola, but soybean and things like that. So, that impacted the vegetable oil market globally. And as Mike said, it'll just take some time now for the industry to react to that and sort it out. You asked about soybean, that that projects gone very well and continues to go very well. But unfortunately, soybean oil had -- was impacted the same way that canola was impacted in terms of pricing. We are continuing to work on pennycress, which we're also excited about. But that's a longer term project because crops have to be planted to create seeds, which has happened this year. So, the idea being that next year, a large crop could be put in for production purposes. At this point, we don't really know what those prices will look like, but we're hopeful that there'll be some benefit there because it's not used in food. So, there'll be less demand for that particular product, and then for other products. And then, just to wrap that up, I would say that -- also tell you that we have seen some renewed customer interest in used vegetable oil and so we expect to be doing some trials on that in the very near future. We've done trials before, but I'm talking about specific trials with specific customers that are interested in us turning their oil into products like cutlery and straws and linens and things like that. Thank you for the question.
Thomas Boyes: Great. Thanks for the insight.
Operator: That concludes our question-and-answer session. I would like to turn the conference back over to Steve for closing comments.
Stephen Croskrey: All right. Thanks, everyone, for joining us today. I'd like to thank you for your continued interest in Danimer Scientific and we look forward to updating you on our progress in the future.
Operator: Thank you. This concludes today’s conference. You may disconnect your lines at this time and thank you for your participation.